Operator: Good morning and welcome to the EnLink Midstream Third Quarter 2015 Financial Results Conference Call. [Operator instructions] Please note this event is being recorded. I would now like to turn the conference over to Jill McMillan of EnLink Midstream. Please go ahead.
Jill McMillan: Thank you, Chad, and good morning everyone. Thank you for joining us today to discuss EnLink Midstream’s third quarter 2015 results. On the call today are Barry Davis, President and Chief Executive Officer; Mike Garberding, Executive Vice President and Chief Financial Officer; Steve Hoppe, Executive Vice President and President of the Gathering, Processing and Transportation Business; and Mac Hummel, Executive Vice President and President of the Natural Gas Liquids, Crude and Condensate business. We issued our third quarter 2015 earnings release this morning and we will file the 10-Q later today. To accompany today’s call, we have posted the earnings release on the Investor Relations portion of our website. If you would like to listen to a recording of today’s call, you can access a webcast replay on our website. I will remind you that any statements about the future, including our expectations, or predictions, should be considered forward-looking statements, within the meaning of the Federal Securities Laws. Forward-looking statements are subject to a number of assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements, and we undertake no obligation to update or revise any forward-looking statements. We will discuss certain non-GAAP financial measures, and you will find definitions of these measures, as well as reconciliations of these non-GAAP measures to comparable GAAP measures, in our earnings release. We encourage you to review the cautionary statements and other disclosures made in our SEC filings, specifically those under the heading Risk Factors. I will now turn the call over to Barry Davis.
Barry Davis: Thank you, Jill. Good morning everyone, and thank you for joining us on the call today. I will begin with some high-level thoughts on the quarter and then we will turn it over to our CFO, Mike Garberding, to review the numbers. Then, Steve and Mac will discuss our operations for the quarter. Importantly, here are the four messages I want you to take away today. First, EnLink had a great third quarter with performance in line with our expectations and we raised distribution at ENLK and ENLC for the sixth straight quarter. Second, EnLink is stable. We are operating from a position of competitive strength because we were purposefully built to withstand challenging marketing conditions. We have good diversity of basins and services and we have stable cash flows from our contract with Devon Energy and other high-quality customers. In fact, more than 85% of our gross operating margins come from customers with investment grade credit ratings. Approximately 95% of our margins come from fee-based contracts. And approximately 80% of our gross operating margins are supported by long-term contracts with either firm transport agreements or minimum volume commitments. We also have a strong investment-grade balance sheet, with ample liquidity, which enables us to fund our development plans and capitalize on strategic M&A opportunities. Third, we have a strong partnership with Devon and are working together to support each other’s development plans. As Devon mentioned yesterday, in their third quarter operations report, they project EnLink to provide roughly $270 million of distributions in 2015, and they are counting on EnLink to grow distributions in the future. Devon also reiterated that both the Access Pipelines and the NGPL Pipeline are drop-down candidates with the Access Pipeline drop-down potentially as early as the first half of 2016. And finally, EnLink is growing. We have executed on our growth plan and over the last year, we completed approximately $4.3 billion of dropdowns, acquisitions, and growth projects that have positioned us well to capitalize on additional opportunities. In October, we completed the acquisition of Matador’s Delaware basin system which expanded our footprint in the Permian. We plan to replicate the successful organic growth strategy we executed in the Midland basin to build out our crude oil gathering, transportation and marketing services in the Delaware basin. In Louisiana, we continue to see excellent growth prospects from our franchise natural gas and NGL platforms and we executed on a number of near-term optimization and supply projects that came about due to our acquisition of Chevron’s Gulf Coast assets last year. We remain focused on long-term opportunities, including pipeline and storage conversion projects, supply opportunities for petrochemical and LNG expansion projects, as well as export opportunities. We are confident in our ability to execute on future growth opportunities from our diverse platform of assets and services. Moving to our third quarter results, we had a strong third quarter and I’m proud of our overall business performance during the first nine months of 2015. We did what we said we were going to do and executed on our growth plan while also growing distributions. We currently project to finish the year within 1% to 2% of our consolidated adjusted EBITDA target of approximately $740 million, which we believe is excellent execution in the face of a challenging commodity environment. As we look at the next year, EnLink and Devon will provide detailed 2016 guidance in our year-end 2015 earnings call on February 17. Overall, we believe EnLink is uniquely positioned with competitive advantages that will allow us to continue weathering the current market conditions and take advantage of growth opportunities we have created from our platform positions. Our industry has never met a challenge it couldn’t overcome and EnLink has the right people, processes and assets in place to continue to do great things over the next year and beyond. With that, let me turn the call over to Mike to review the financials.
Michael Garberding: Thanks, Barry. Good morning everyone. EnLink had solid performance in the third quarter, with consolidated adjusted EBITDA of approximately $187 million, which was in line with expectations. The partnership’s distributable cash flow for the third quarter was approximately $148 million, which is up approximately $14 million over the second quarter. We also raised distributions by $0.005 at both ENLK and ENLC and achieved distribution coverage of 1.05 times at ENLK and 1.12 times at ENLC. We believe this is great performance given the current commodity environment. Turning to our balance sheet, EnLink ended the quarter with less than $200 million drawn on the partnership’s $1.5 billion revolving credit facility. Our leverage remains low, with debt to adjusted EBITDA of about 3.75 times at the end of the third quarter. EnLink has excellent liquidity and we currently have no marketed equity needs in the foreseeable future, other than what could be associated with a large scale acquisition or commercial development. Furthermore, our strong balance sheet is also supported by our general partner. A recent example of this is the announcement we made last week of ENLC purchasing approximately 2.85 million ENLK units. Proceeds from that unit offering were used to pay down ENLK’s revolving credit facility which has been used to fund our recent growth projects. This is a great way to deploy a portion of the cash on ENLC’s balance sheet into what we view as a very undervalued security in today’s market. We see the investment as a win-win for both ENLK and ENLC unit holders, because it provides additional liquidity to lower leveraging ENLK and provides an additional $4.5 million a year in cash flows at ENLC, based on the partnership’s current yield. With respect to 2015 full-year outlook, we expect to end the year within 1% to 2% of our approximate $740 million consolidated adjusted EBITDA guidance. This means we expect relatively flat performance in the fourth quarter and expect to end the year with a consolidated adjusted EBITDA around the $720 million to $730 million range. As there has been no meaningful recovery in the commodity prices so far this year and it is currently unclear when we are going to see an overall recovery, we think it is the right decision to effectively manage the balance sheet, growth opportunities and business performances in this environment. Therefore, we expect to end the year with annual distribution growth at ENLK of around 5.5%, and annual distribution growth at ENLC of around 15%, which is consistent with what we guided towards in our last earnings call. We think having coverage greater than one times at ENLK, as we have had the last two quarters, is very important in times like this. Before I turn it over to Steve, I am going to spend a minute highlighting the partnership investment in Howard Energy Partners. EnLink has an approximately 30% ownership of the private partnership and it is treated as an equity investment on our balance sheet. We have a long history with Mike Howard, the founder of Howard Energy, and believe he and his team have created something special that we are excited to be a part of. We also believe that this investment is under appreciated in the marketplace. Since 2011, EnLink has invested approximately $136 million in the company and received $51 million in distributions. Howard has grown significantly since 2011 and currently operates more than 700 miles of pipelines in addition to treating, processing, crude stabilization and liquid storage in the Eagle Ford and a gas gathering system in the Utica Marcellus. In June, Howard announced a Nueva Era pipeline, an approximately 200-mile, 30-inch pipeline that will transport over 500 million cubic feet of natural gas per day from Howard’s Web County hub in South Texas directly to Nuevo Leon, Mexico. The foundation shipper on the system will be the CFE, a state-owned electric utility in Mexico, which will use the pipeline to help the national gas pipelines near Monterrey under a 25-year contract. We are excited about the great things Howard Energy is doing and believe that its growth prospects add a lot of upside to our business. Overall, Howard has built a substantial business with total company estimated distributable cash flow of around $100 million, based upon our current quarterly distribution. I will now turn the call over to Steve, who will discuss the gas business units.
Steve Hoppe: Thank you, Mike, and good morning everyone. In the Permian Basin, we’ve made progress executing on our growth strategy. The Permian continues to be one of the best oil and gas regions in North America, with approximately 153 rigs operating in the North Midland and Delaware basins, which accounts for 20% of all rigs currently operating in North America. There are currently 35 rigs operating in Midland County alone, which is the most of any county in North America. Our Permian operations gathered 210,000 million BTUs per day and processed 267,000 million BTUs of gas volumes in the third quarter, which generated $17 million of gross operating margin, slightly above the second quarter. Volumes into our Coronado assets continue to increase and we expect by the end of the year that volumes will be 30% higher than when we acquired the system in March of this year. The Midland basin remains a very active drilling and development area, even in a low-priced commodity environment, which creates additional opportunities for EnLink. For example, we saw two of our customers, Diamondback and RSP Permian, reinforce their commitment to this area by adding to their acreage positions. In October, we established a position in the Delaware basin, with the acquisition of a 35 million a day cryogenic gas processing plant, an associated gathering pipeline in Loving County that included long-term acreage dedications. We are working with Matador and other producers on projects to expand the Loving County plant and the construction of additional gathering pipelines in the Loving, Reeves County in Texas and Eddy and Lee Counties in New Mexico. That will allow us to further expand our presence in the Delaware basin, similar to the successful organic growth strategy that we deployed in the Midland basin. Moving to North Texas, our focus remains on asset optimization, offsetting the impact of inherent declines and supporting our customers well performance enhancements and refrac programs. Our third quarter results for North Texas were consistent with our expectations, where overall we have seen about a 6.5% reduction in our volumes since the first of the year. We gathered approximately 2.6 million MMBtus per day and processed just under 1 million MMBtus per day, generating about $132 million of gross operating margin during the quarter. We continue to work closely with Devon to optimize their production through pressure reductions, minimizing operational downtime, supporting artificial lift and refrac programs. During 2015, Devon’s gathered volumes have exceeded their minimum volume commitments, or MVCs, and it’s processed volumes were slightly below the MVCs. But as a reminder, approximately 77% of our gross operating margin in North Texas comes from long-term contracts with Devon, that include the MVCs through the end of 2018. Devon continued to have success in its vertical refrac program, completing another 16 wells during the quarter, with an average per well uplift of 725 Mcf per day, a 700% increase in per well production. Devon also completed 8 of its planned 25 horizontal refracs in 2015, and is now modeling initial production uplifts of 30-day IP of 1 million cubic feet per day and 2 billion cubic feet equivalent of additional reserves. The Barnett has tremendous upper upside opportunity for its customers from horizontal refracs. Devon alone operates more than 3,000 producing wells, horizontal wells in the most productive portions of the field and we expect Barnett producers will continue to enhance their fracing techniques, reduce costs and improve returns like they have done in so many other areas. Oklahoma remains an area with significant growth potential for EnLink. While we have seen a slight decline in our third quarter gathering volumes, we expect the trend to reverse in the fourth quarter due to Devon’s activity in the region. Devon is currently completing wells drilled earlier in the year and operating three rigs in the Cana-Woodford. EnLink has connected 57 new wells through the third quarter, many of which are waiting to be completed. Because of this, we recently expanded our gathering system by 75 million cubic feet per day and we are expecting our volumes to increase 10% to 15% by the end of the year. In fact, Devon just tied in its first 14 wells from the Gordon Row and expects to bring in 60 high rate wells by year-end, 40 of which would be connected to our Cana system. This creates significant growth for Devon and EnLink later this year. We believe our Cana gathering system has excellent long-term growth opportunities because of our relationship with Devon, the strategic location of these assets in the best acreage of the Cana-Woodford and the continued expansion of the Meramec Play. We see significant potential from Devon’s growth in the Meramec where they now have 75,000 net acres and 500 risk locations, a portion of which are behind our Cana system. During the third quarter, Devon participated in seven Meramec wells, five of those wells having at least 30 days of production history. Initial 30-day IP rates from these five appraisal wells averaged 1,430 Boe equivalent per day. We remain confident that our growing Midstream platform in the region will be an integral part of EnLink’s sustained success in the future. With that, I’m going to turn the call over to Mac who will give you an update on our natural gas liquids, crude, and condensate business.
McMillan Hummel: Thanks, Steve, and good morning everyone. We continue to be very excited about our market-driven Louisiana platform, because it is so well-positioned in a growth area characterized by increasing demand for natural gas and natural gas liquids. Our combined Louisiana platform allows us to capitalize on serving the needs of new and expanded customers that we simply couldn’t have served before the acquisition of Chevron’s Louisiana gas pipeline and storage assets. We are actively engaged in opportunities to further expand our business and only three days removed from the one-year anniversary of our ownership, we are pleased to report that we are seeing great results from the Chevron assets. As Barry mentioned, we are making investments in a number of smaller, organic projects, with very attractive multiples and quick paybacks due to our extensive footprint. And on a longer-term basis, we continue to explore a number of market opportunities that our franchise NGL and gas platform will create, including pipeline and storage conversions. I am pleased to say that this quarter also marks the one-year anniversary of our Cajun-Sibon pipeline and fractionation facility being in full service. We are seeing strong volume performance across that system, which we expect to continue. The Cajun-Sibon pipeline operated at full capacity during the third quarter with volumes of approximately 128,000 barrels per day and our Louisiana fractionation volumes, despite being burdened by a significantly heavier inlet feed stream than was originally expected, continued to perform very well with volumes up of approximately 139,000 barrels per day. In our Louisiana gas business, transmission volumes for the third quarter were approximately 1.5 million MMBtu per day, up over 100,000 MMBtu from the second quarter, due in large part to the near-term optimization projects that we have already executed and new exposure to the power generation market. Processing volumes for the 509,000 MMBtu per day which was relatively flat compared to the second quarter. We continue to make good progress in expanding our crude and condensate capabilities. In September, we completed the expansion of our South Texas assets, namely the VEX system. Overall, crude and condensate volumes were roughly unchanged from the second quarter at approximately 147,000 barrels per day. Volumes attributable to the VEX system increased by 12,000 per day to approximately 46,000 barrels per day. Our entry into the Permian crude business, LPC, continues to outperform our volume and financial expectations, with third quarter volumes of approximately 70,000 barrels per day, which are down 5,000 barrels per day from a very strong second quarter. As a reminder, we considered LPC to be an entry point for our Permian crude business, not a destination. And while we are pleased that LPC continues to outperform our volume and financial expectations, just as importantly, it is creating substantially greater Permian deal flow, deal flow which we expect to execute on over time to create an even more meaningful Permian crude business. When we started the year back in January, we handled no crude volumes for Devon. Today, we handle Devon volumes across our crude and condensate business of approximately 45,000 barrels per day. Just as in our gathering and processing business that Steve covered, we greatly appreciate Devon as the largest customer of our crude and condensate business. I will now turn the call it back over to Barry for concluding remarks. Barry?
Barry Davis: Thank you, Mac. Before I turn it over to Q&A, I want to take a moment to reiterate that EnLink was purposefully built to weather market conditions like these. We will continue to execute our strategy from a position of financial strength and flexibility, while generating stable cash flows and growing our business to the benefit of our customers and shareholders alike. With that, Chad, you may open the lines for questions, and I ask that we limit the amount of questions to one per caller please.
Operator: [Operator Instructions] First question comes today from T.J. Schultz with RBC Capital.
T.J. Schultz: First in Louisiana, it sounds like some quick paybacks on some of the initial smaller organic projects. I don’t know, Barry or Mac, if you could just provide a little more color on how the business development process to attract some of the potential conversion projects, NGL logistics or exports is going? And when some of these larger scale specific projects can maybe firm up a little bit more?
McMillan Hummel: The conversion – or the business development efforts around our Louisiana business continue to go very, very well. And as I mentioned, we have executed on a number of projects that had very quick payback, in the range of zero to three to four years payback. So very, very accretive; very, very attractive projects to us. Those are the kind of projects that we expected to execute on when we did this acquisition. We are also continuing to work on some of the larger opportunities as you mentioned, the conversion projects. Those, by their very nature, are more complicated, they are more complex and they are longer leads. So what I can tell you is that we do actively continue to work on those. Our expectation is that you will be in the hunt to execute on those when the timing is right, with both us and the customers, and we are excited about our prospects as we look forward.
Barry Davis: Yes, we continue to believe that Louisiana is one of our greatest areas of strength from a franchise position. I think everyone knows that in this environment, projects are taking longer and we’re talking about long lead time projects. So we are still very confident in the opportunity there.
T.J. Schultz: Maybe if I can just squeeze one more in, maybe for Mike, you said on the ENLC purchases, ENLK units, if you could just expand on the decision to buy ENLK units versus some of the other potential opportunities you had for that cash. And then also you spent some time on Howard, which I thought was interesting. If you could give us your long-term strategic plan with that investment?
A – Michael Garberding: I’ll start with the second one first. I think, Howard, we wanted to just walk through and give people a good picture of what we think Howard is doing and how they are creating a great long-term business down there that we have been a part of really since day one partnering with them. We think it is very underappreciated not only in the sense of the market knowing about them, but also the market valuing them within us, so we are trying to give a perspective of what they truly built in a pretty short period of time. The last thing I said was, they created a business that has about – a cumulative run rate EBITDA or DCF about $100 million that we are 30% of. So very substantial business and again very underappreciated with what we are doing. With regard to ENLC, ENLC cash was up there related to the EMH drop, which we addressed in the last quarter call. And how we think about the relationship between ENLC and ENLK is, really ENLC is enabling ENLK to grow in this market. To have ENLC which had about north of $50 million cash on its balance sheet provide the capital for the growth we are doing at ENLK, which then thereby supports ENLC. We think it’s a great signal from the marketplace of how we’re working together to continue to grow effectively in this environment. We also think from an investment standpoint, investing in a security with a 9% return represents a great investment for ENLC from a cash standpoint.
Operator: The next question comes from Darren Horowitz with Raymond James.
Darren Horowitz: Mac, a quick question for you. Now, that you’ve got some successful vertical and horizontal refrac results and you are heading into the end of the year, how much of that legacy North Texas volume decline do you think is going to be offset by those incremental refrac production increases? I think you previously quoted maybe about a 25% legacy decline offset, I am curious if that’s changed and I am also curious if there has been any shift around the timing of some of those interconnects, especially with Devon recently raising their year-end production guidance.
Steve Hoppe: First of all, I think the refrac Devon success that you see in the vertical wells has improved significantly and also starting to replicate that with the horizontal refracs. I believe that last quarter we talked about a 25% offset, and right now when you look at our plans for North Texas, it includes not only the refrac program, but pressure reduction, and other stimulation and optimization work that we have going on with Devon, so we are very well aligned with Devon on doing that. And right now, when you look at the numbers we had in this quarter, what we are estimating is that there our declines between now and the first of the year in total in North Texas is running about that 6.5%. So we’ve definitely have seen the benefit of all that work and we also think that we haven’t seen the full benefit of the horizontal refrac and that potential opportunity could be very good. As Devon continues that program, we’ve got to look at it as though it’s a longer-term program into a number of years. It’s starting now and it will go into 2016, but we are very excited about that opportunity. We think it’s going to have a significant contribution to our North Texas volumes in offsetting decline. Now, I don’t expect that you will see big changes in volumes because it’s a multi-year, long-term approach that Devon is taking and that just further supports the stability that we have in this asset for the long-term growth – in the long-term contracts that we have with Devon. We are very well aligned with them on that and I think it just continues to support the relationship that we have with them and the work that we are doing together.
Operator: The next question comes from Shneur Gershuni with UBS.
Shneur Gershuni: I was wondering if we can talk about cost of capital? I’m sure you’re not happy with where the units are trading today. When you think about it as an acquisition currency perspective, it does create some challenges in the context of dropdowns. So I guess kind of a two-part question because I’m limited to one. Is there any interest in slowing distribution growth to – or sacrificed growth for the sake of increasing coverage so that you have retained DCF to help finance growth? It seems the market’s rewarding those types of sacrifices these days. And then secondly, how do you think about dropdown multiples? Does it change in the current market environment, or does Devon’s need for capital limit the opportunity for some GMP support? I was wondering if you could talk about those concepts.
Barry Davis: There’s a lot in there and I’m probably going to start a little more broadly even than your question, and that is, do we think we can be competitive in a growth environment, particularly in the M&A area today and the answer is yes. We have very strategically positioned this business across our platforms in the right places for growth. Steve highlighted the rig activity that is happening in the Permian. Similarly what we are seeing in the Midcontinent is a terrific growth around our asset base, and we are very much in the business of growing organically, as well as through acquisition and consolidation of the positions. We think this market is going to deliver opportunities. In fact, we think there are opportunities in all cycles. We just shift a little bit the way we are thinking about it. So today we are spending more time in the area of acquisition and consolidation in this environment, and we fully expect that our cost of capital will be constructive and allow us to do things in this market. So Mike, if you want to speak specifically to the cost of capital.
Michael Garberding: That’s a great point, but you have to look at the projects and the dropdowns and think about that right. So the Access Pipeline is a terrific example of how Devon and ourselves can work together on an opportunity. A very long-lived asset, very stable cash flows supported by a very good contract with an investment grade counterparty. That is the perfect asset to fit in a business like us. So good assets, good finance. When we think about coverage, you can see that we have been looking at coverage. We think that’s important in a commodity cycle like you see today. We also think there are opportunities to use both of our entities in the actions that Barry was talking about and that gives us a competitive advantage. You just go back a couple years ago in the Devon transaction and it really enabled us to get that transaction done with both entities. So for us, we do still believe that’s a good strategic opportunity for us, and we do believe good projects will continue to get financed in this marketplace.
Shneur Gershuni: In trying to understand your response, so you are saying you are looking at coverage, but should we assume that where you are at now is where it stays, or do you want to build it a little bit? And then secondly, do you think the dropdown multiples will change at all from what you had previously modeled?
Barry Davis: You got to remember that it’s a different relationship between us and Devon. How we are working together is the right answer for all this. So we will be productive from both sides when we think about dropdowns as far as what makes sense for both parties and come up with the best answer for both parties. With regard to coverage, you can see that we have still increased distributions like we told the market we expected to increase distributions in the second quarter and have built a little coverage. Do we think it makes sense expanding that coverage? When we come out with 2016 guidance, you will see our thoughts around that, and there’s just a lot of things that go into that. So do we believe that there is going to be a market where it is like today from a financing standpoint long-term? No, we don’t. Do we believe we can get capital that’s effective for growth? Yes we do.
Operator: Our next question is from John Edwards with Credit Suisse
John Edwards: Just Barry and Mike, I’m wondering how are you thinking about – you had laid out a long-term goal to double EBITDA by 2017 and given the pretty tight relationship with Devon, how are you thinking about, maybe accelerating dropdowns in order to achieve that or are you backing off from that goal a little bit? Maybe a little bit of color on that would be great.
Barry Davis: John, let me start by saying that we are really proud of the way the we have executed the plan that first laid out our growth targets by the end of 2017. Having completed a significant part of that road map that you will recall we laid out, to date about $4.3 billion in acquisitions and growth across the four different avenues, so we are proud of that. We also are still very confident in our ability to continue to grow, because each step of our execution, we believe, has really set up a multiple steps of future execution. The move into the Permian, the expansions that we are continuing to see in the Midcontinent, and the Eagle Ford, our position in Louisiana, so we are still very confident about our growth going forward. I think the environment that we have seen evolved over the last 24 months really drives your question. Is it realistic to see that growth by 2017? And what I would tell you is that we are still committed to that same pace of growth. And we still believe that doubling from where we were in 2014 when we started EnLink is still possible. It looks very different if that happens. It probably involves more acquisition, more M&A than it would have maybe at that time when we set it up. But we are still very confident in our ability to grow. More importantly, John, what we are saying today is we want to be one of the top midstream companies in the marketplace. Top midstream companies not only grow, but they continue to provide the best services, which we do, and continue to really set up the future for long-term success. So we feel really good about where we are in all that.
John Edwards: And in terms of understanding that, so to help achieve that in terms of – do you think Devon would be more supportive of perhaps accelerating any dropdowns than, perhaps, might be otherwise the case?
Barry Davis: We have two identified dropdown targets with Devon and they are very near-term. If you look at it we said we believe in the first half of 2016, both the Access and NGPL dropdowns – that would be the right timing. So that is very near-term. Secondly, let me just emphasize again, one of the things that maybe we didn’t make clear was that opportunities to do things with Devon wasn’t going to come on a ratable basis where you would see us consistently every quarter delivering something that we were doing with Devon. I think it’s going to come in big chunks. I think you’re going to see opportunities because of the collaboration and the strategic alignment that we have with Devon, which is increasing every day. Today, we are so far advanced from where we were 18 months ago in terms of working with Devon strategically to the benefit of both of our companies, EnLink and Devon. I predict that we will continue to see great opportunities to benefit from the sponsorship and relationship with Devon.
Operator: The next question is from Jeff Birnbaum with Wunderlich.
Jeff Birnbaum: So just following up on that dropdown conversation, I know it’s a little early and perhaps sort of a difficult topic to get into in detail, but can you at least comment on what sort of conversations you are having with Devon about how the drops next year might be structured or financed, or perhaps the range of options that are being discussed there?
Barry Davis: Jeff, I don’t think we’re going to make a lot of comments other than to say that we are very well connected and the conversations are extensive. Mike, do you want to comment on financing?
Michael Garberding: Again, I think the key takeaway here, Jeff, is that we are both on the room together, solving for what is right is for both of us. It’s not one party saying, hey, go do this. It’s everything Barry talked about the collaboration, as far as the learning of the assets, as far as the opportunity together. So I think we feel well positioned and we both understand the market we are in and we will come up with a great productive solution for that. So again, as Barry talked earlier, we expect both of these dropdown opportunities to have a good chance of happening really within the next six months. Or excuse me the first half of next year.
Jeff Birnbaum: Mac, I apologize if I missed this in the prepared remarks, but at least on the wording of the release, it seemed like crude and condensate gross operating profit was down sequentially by probably about $20 million or so. I think you walked through some of the puts and takes in the quarter, but can you go back through perhaps sort of what were the biggest drivers of that change?
Michael Garberding: So you remember in last quarter we did announce that we had a settlement of a contract that went into the second quarter of about – I think it provided additional margin of about $10 million. So if you compare run rate second quarter to third quarter, if you pull that contract out, it looks sequentially about the same.
Operator: The next question is from Jeremy Tonet with JPMorgan.
Jeremy Tonet: I was just wondering if you could refresh us as far as – it seems like you have some very attractive low hanging fruit as far as some of these smaller bolt on projects with very accretive multiples. I was just wondering if you could give us a sense of how big this opportunity set could be if you start pulling them all together and how meaningful that could be for you guys?
McMillan Hummel: I think it’s a little bit difficult to tell you how big it is, but suffice it to say we think it is very significant to our business. If you look at really what drives the state of Louisiana versus maybe some of the other areas where we do business, it’s really a market-driven opportunity, as opposed to a supply-driven opportunity. We continue to see industrial customers, we continue to see LNG producers look for opportunities to construct a facility and/or expand a facility in the state of Louisiana. We’ve got the perfect platform to be able to do that. In fact, we continue to say that we’ve got the premier platform in the state of Louisiana to do that and so we are going to continue to see those opportunities. The ones that we have executed on have been primarily on the supply side of the equation, so they have been projects that have been oriented more towards getting us access to better supply, cheaper supply, or supply that’s more oriented around processing value. Those were quick hits, we did them, and as you have mentioned they have got great returns associated with them. We are now moving more into a phase where I see the predominant opportunities for us being more market oriented. And so we are evolving that approach to pick up more of the market side. I think we are going to continue to see the same thing as we have on the supply side on the market side. And that is they are going to be projects for us that are very, very accretive. We are going to have to put in very little capital in order to serve the new or expanded markets, and so there’s a lot of those out in front of us and I think the impact can be very meaningful to our business. And let’s not forget, before we finish up on this question to just step back and think about what the Chevron acquisition did for us. It really created the opportunity for us to utilize that collection of assets we’ve got. Not only to do these smaller projects, and to do gas projects, but it gave us the opportunity really to free the system up in a way that we could provide a step change opportunity to our earnings power by doing some of these conversions we’ve talked about. And again they are complex, they’re complicated, they’re longer term in nature, but we are continuing to be focused on them.
Barry Davis: Jeremy, let me finish with a thought that bolt on organic growth from platforms come by having assets in the right places where there’s activity and we do. We have strong activity across our asset base. And one of the core executions we are thinking about every day is how we grow the assets that we hold and currently operate. So it’s a very major component of what we are doing, and I think the opportunities are significant there. As Mac outlined for Louisiana, those same type of opportunities exist across our asset base. Operator The next question comes from Mirek Zak with Citi
Mirek Zak: My question pertains to the non-Devon interest in the Access pipeline which is on the market. Would you have a desire and capacity to acquire that portion of the pipeline along with the dropdown of Devon’s interest, or would it perhaps the possible market cost and the cost of capital make it uneconomic for you?
Barry Davis: When we look at the Access Pipeline and Devon’s piece, we are incredibly excited because of the contract, the counterparty and the relationship we have with Devon. The nice thing is, with Devon’s relationship with that asset, Devon has the right to look at whatever Meg is going to do on that, so we’ll have an opportunity to look at that and if it is the right counterparty or right structure, it is something we will think about just because that asset is so different. You can really think of it as a superhighway because you don’t have the reserve decline. And as Devon talked through today on their earnings call, basically all three pieces of their oil sands projects are up and running really well today. So again, we have the option to look at it and we will have to determine at that point in time to see if it does make sense for someone like us.
Mirek Zak: And that would have to come through Devon initially or would EnLink be able to acquire that directly?
Barry Davis: It comes through Devon, but we are working together on all of these options.
Operator: Our next question comes today from Craig Shere with Tuohy Brothers.
Craig Shere: Steve, given the comments about growth in the Cana and Meramec, post the NGPL drop, do you see potential progression more rapid now towards connecting the Cana and North Texas systems?
Steve Hoppe: Absolutely, that’s what we are hoping for, is that NGPL is the first phase of a multi-phase project. It lets us start on that southern end of Oklahoma, bring gas outside of the Scoop area into North Texas, and then the next phases would be to expand that line up into the stack in the Cana-Woodford areas. From there, we’d have an interconnected system with both North Texas and Oklahoma. And I think one of the big drivers behind that is just how quickly those areas are going to grow and develop. But the other thing that we see is we think we’ve got a little bit of a competitive advantage in that North Texas right now has capacity. It’s got better access to markets, it’s got better net backs for NGL and gas price. So we think that’s going to further support the projects that we’re looking at to bring gas out of Oklahoma into that area.
Craig Shere: So with what you’re saying right now, how would you handicap the timing of the second phase of that?
Steve Hoppe: I think it’s very difficult to say on timing. Probably late 2016 or 2017 is what we are looking at right now.
Craig Shere: And that was what, maybe another $300 million or $400 million investment?
Steve Hoppe: That’s probably within that range. It really depends on how far we go and what opportunities we see, but I think that’s probably a reasonable range to use.
Operator: Ladies and gentlemen, this concludes our question-and-answer portion of the call. I would like to turn the conference back over to Barry Davis for any closing remarks.
Barry Davis: Thank you, Chad. Everyone on the phone, in closing, we are well positioned to execute in this current market environment for a number of reasons. I remind you that we have a strong platform for long-term sustainable growth in key basins. Our relationship with Devon continues to create abundant opportunities. We have strong business relationships with our key customers that make us a provider of choice, and we have the right people. We thank you for joining us on the call today and for your support. We look forward to communicating with you in the days ahead. Thank you. Have a great day.
Operator: Your conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.